Operator: Good morning everyone and thank you for joining us to discuss Golden Star Resources’ Second Quarter 2015 Results. The financial statements were filed last night and these are available on the company’s website at www.gsr.com. Please also note the forward-looking statement and legal disclaimer on the webcast presentation. I will now turn the call over to Sam Coetzer, President and CEO of Golden Star, who will be presenting these results.
Sam Coetzer: Thank you, Joanna. Thank you all for joining us on this call this morning. I trust that you have seen our financial results that we released last night as well as the announcement on the Royal Gold financing that we released yesterday morning. Our last two announcements detailed the critical decisions that we have taken in the last month. We remain on target, our results, to transform this company to a lower cost non-refractory underground producer. The funding from Royal Gold provides us with a bridge we need to achieve on that strategy. To preserve shareholder value, we have decided to suspend refractory operations with immediate effect. In the near-term, our efforts will now be focused on delivery production from the Wassa and Prestea open pit operations and also at the same time progressing our longer-term objective of bringing the Wassa and Prestea underground mines into production. I am pleased to say that we have started mining in the twin declines at Wassa and we continue to upgrade the levels at our Prestea underground mine. Despite the challenges that we face as an industry, our Board and this Management Team remain excited about this transformation. Joining me on this call today are my colleagues Andre van Niekerk, our Chief Financial Officer; and Angela Parr, our Vice President of Investor Relations and Corporate Affairs. Firstly, I would like to take this opportunity in thanking Andre and our Chief Operating Officer, Daniel Owiredu for their efforts that we put in, in closing the Royal Gold financing. The financing of this nature has not been done in Ghana before. An extensive management time was required to ship at this transaction through the approval processes. Moving on to discuss the operational matters for the second quarter, at Wassa, we returned mining into the Main pit. We saw higher grade mined as a solid performance in terms of processing that all. However, fluctuating power at the Bogoso mine hampered processing for second quarter in a row. Just to give you an idea, year-to-date tons processed at this operation are below 80% of the company and that was due to regular daily outages. On the right side, we are the first blast at the Wassa underground declines, and this operates – and this construction is ongoing. At Prestea South, we received the permits for mining in the open pits at Prestea and we have now upgraded both our non-refractory plants to be able to treat the new ore r sources. Obviously, revenue was negatively impacted by lower gold prices and more so by the weaker Bogoso refractory production. Mine operating expenses and cost of sales before severances reduced again at both operating mines and we expect even further reductions in the second half of this year. In line with our decision to suspend the refractory operations, the carrying values of Bogoso refractory assets were written off in totality, resulting in $34 million impairment. Mine operating expenses continued to reduce and will decline further into the second half of this year, as we continue to transform this business. However, the reduced processing capacity at Bogoso refractory operations negatively impacted on the unit cost for the quarter, but at Wassa, the performance had been solid and this mine is on track to meet the full-year 2015 guidance. Our group cash cost balance has now been revised upwards to about $1000 ounce as a result of the changes in the mine plant and also the poor first half of the year, we received from Bogoso. It must be noted that our future mine, Wassa and the non-refractory plant at Bogoso has operated to our expectations. Talking about Wassa, at Wassa, the ore mined as I indicated increased during the quarter as we have now hold our equipment in the Main pit focusing on the mining the B chute which is also the ore body that will host the higher grade underground mine. On a year-to-date basis, the stripping is in line with a 4:1 and we expect that to continue for the full year. Ore processed decreased slightly as we had some pressure downtime by the end of the quarter, but we fixed that problem and the availability is back. We see the grade continue to improve in the Main pit as we predicted before. During the quarter, the processing plant was enhanced with the installation of a thickener that should improve our capacities and recoveries going forward. As I speak to you, those are currently being tied in at the mine. In the mining, efficiencies has improved and our mining cost are now trending below $3 a ton and we expect further reductions as we have looked further efficiencies in the mining department to go forward. Our full-year cash costs though hovers around on guidance in around $920 per ounce. At this stage, Wassa is evaluating further cost savings initiatives for the 2016 and our plan is to operate this mine optimally at below $100 gold price going forward. Let me talk – discuss the Bogoso business from this point and forward. As you know, the economics of this business is much down especially in the refractory business. In light of the current gold price environment, we have made some choices, which we believe are prudent. To continue mining refractory ore, will not only absorb management time, will observe cash that can be better deployed elsewhere in the company. And for that reason, we will be suspending operations in the refractory business with immediate effect. We are approaching the suspension in a responsible manner. The mining team has already been despaired, severed over the last quarter and the remaining non-critical staff complement will be severed in the next month. We have over 200,000 tons of ore in stockpile and we will assess on a daily basis the value of running that through the plant. Accounts payable are to be reduced over the course of the next 36 months. Furthermore, we will curtail tailing retreatment in favor of treating the high-grade Prestea South complex ore. This will also save $3 million in CapEx for a tailings lift and will also deliver lower cost ounces for the immediate future. We are now in the process of renegotiating our water treatment costs, which will reduce our liability going forward. Bogoso will then function purely as a processing facility for Prestea South ore. We have commenced the establishing of an ore stockpile during the latter part of July to commence processing in early August. We talk about how we’ve been responding to the changing market dynamics. To survive under current conditions you need to respond quickly to changing market dynamics. And I believe we’ve just done that. We have advanced our decision into lower cost production while advancing production and suspending Bogoso refractory operations immediately. We’re also fortunate that we got the permit, the community support, and we have started mining in the Bondai pits over the last two three weeks. We are stabilizing and derisking our balance sheet with debt reduction, cash rejection that we see from the Royal Gold, and lower future capital costs. Lastly, we are planning for longer-term market pressure specifically at Wassa with cost savings will be sought going forward. Reviewing the recent announcement regarding our funding, we now have the long-term financing partnership that we’ve entered into with Royal Gold. We have received $60 million in financing since the transaction closed on Tuesday night. We are expecting a flow of funds of $15 million a quarter for the next six quarters. A vote of confidence in our future assets by respected industry participant of extensive due diligence was done. At this point, I’m going to reiterate that we have the support of the Royal Gold management and that the extended period of time that was required to close the transaction was as a result of regulatory hurdles in Ghana. Moving on to discuss our future for two new projects let me start at Wassa, as the progresses we have made here over the last quarter has been truly remarkable. We now have all the mining equipment onsite to deliver on the projects and that includes the two jumbo drills. We have a full team of special – skilled people running the project. We’ve had the first two the first bar is on the declines and on the daily basis we are now advancing the declines. The portal has held up very well and the country rock is very competent in our first blocks that we’ve been seeing. We have an electrical infrastructure installed including a 4MVA generator capacity. We are nearing completion on the construction of the support infrastructure at this point. In the second quarter, we spent $3 million and we have a further $10 million to be spent in the remainder of the year and that will go mainly into the development of those two declines. At this stage, I want to remind you of the upside that we see at Wassa. As you know and as we talked about in the past, Wassa has a large license area. And anomalies indicate that the mineralized trend continues for six kilometers beyond our last step out. Just to give you an indication for every 500 meters, we step out and intersect grades similar to what we’ve seen to-date; they are additional 600,000 ounces to 700,000 ounces potentially to add to resource. We believe that we can exploit this potential from the existing underground mine design and the infrastructure that we’re currently putting in. We remain excited with a progress we witnessed at Wassa, to stand the current market conditions going forward. Discussing Prestea, we have finally secured the mining permits for the oxide pits we referred to as Prestea South. We are focusing our efforts and starting our current operations in the Bondaye South, which is a part of a [indiscernible] group. Mining in these oxide pits has commenced. Processing our first gold is expected in the next month in August 2015, we have already commenced trucking ore to stockpile at our processing facility at Bogoso. The underground feasibility study has progressed well and we expect results early in the third quarter and this should indicate opportunities for improved capital efficiencies. Rehabilitation of the main underground mining levels continued and we spent $7 million to-date on our project. We have continued to advance the projects through the closure of the Royal Gold financing allowing for CapEx buffer to exist. Once the upgrade of the shaft and ventilation systems are complete, we will be considering an exploration strategy, aiming at increasing daily tonnage from the underground mine. Further drilling is expected to expand the mineral resource conversion up and down plunge of extension of the West Reef ore body and we will use currently [indiscernible] to utilize that increase. We’re also believe that significant Main Reef upside at depth below the current workings in the West Reef. Indications are the Main Reef could be non-refractory in nature, yes does need to verification. I have said many times that this business has been dealt with extensive infrastructure. The challenge for me, my team, and the board is how do you leverage sensibly office infrastructure through the benefit of their shareholders, and is now take time to build a new company on an old. But I believe there are two development projects, we will achieve this and this is evident in the high rate of returns as studies shown. Our low CapEx per ounce ratio relative to our developing peers, also demonstrate the capital efficiency of these projects. Just reviewing the timeline for delivery, we have delivered on our key milestones year-to-date and intend to continue at this phase, with this over the remainder of the year. At Wassa, the twin decline construction is now our key focus and we still expect first ore in the first quarter for the first quarter of 2016. We await the findings of the Prestea feasibility study and they announced that we will determine the optimal processing methodology for this high-grade ore. We are now heavily in construction mode, but our mining teams at both Wassa and Prestea open pits are insulated from this and we will continue to focus on delivery production from these mines. At this stage, I would like to hand the call over the operator, so that I can answer any questions for Andre with me that you might have. Thank you, operator.
Operator: Thank you. [Operator Instructions] Thank you. Your first question comes from Raj Ray from National Bank Financial. Please go ahead.
Raj Ray: Thank you, Sam good morning. My question is on Prestea open pit and what throughput rates you’re expecting out of there over 2015 and 2016?
Sam Coetzer: So, now we look it at this stage, Raj. Thank you, I mean we’ve been looking at it about what we’ve guided is about 70% of the capacity of the plant and we took a conservative view at this stage to make sure that we can make the requirements that we want. So the guidance we gave was about 68% of the capacity of about 1.4 million tons per annum. Should we be able to increase the mining rate through drilling and through grade control drilling, we would hope to improve that throughput. So you can work round about 70% to 75% that we see that we can increase that I’ll lift the group now?
Raj Ray: Okay, thank you. And the second one is do you expect the additional severance charges and do you have that number in mind, what it might be?
Sam Coetzer: Yes. We did a full plan on the severance. I’m going to hand that to Andre, because we knew that we were going to get to this point. We’re just a bit earlier. So we’ve had presented preparations on severance long before today.
Andre van Niekerk: Hi, Raj.
Raj Ray: Hi.
Andre van Niekerk: Under the severance, we basically are fully accruable all the severance that need to be paid in 2015. We took an additional accrual of $13 million of which $3 was paid during the second quarter, so we left with amount of $10 for the remainder of this year that will happen later on when we have spend at the refractory operations completely.
Raj Ray: Okay. And I wonder whether you’re still there. I have a question on the funding for the Prestea underground and the Wassa underground, do you think with Bogoso now going out of mine earlier than expected and the current gold price, you are fully funded to production for those assets or you might have to look price similar funding at some point in 2016?
Sam Coetzer: We still have the Ecobank II loan available at our disposal. We’ve been modeled the closure or the suspension of the refractory business. We looked at the development program and basement what we’re seeing we still have sufficient funding to complete both projects by 2016 – end of 2016.
Raj Ray: Okay. Thank you.
Operator: Thank you. There are no further questions at this time.
Sam Coetzer: Thank you for all those taking part in our call and I am excited as we see the transformation of this business. We continue to reduce our cost structures down, and I do believe that we are at a point where we’ll start seeing some improvement in our results and continued to deliver on the projects that we want to bring into production during 2016. Thank you for joining us and we’ll open for discussion if anybody wants to give us a call at any stage. Bye. Thank you, operator.
Operator: Thank you. Ladies and gentleman, this concludes your conference call for today. We thank you for participating and we ask that you please disconnect your lines.